Operator : Hello everyone, my name is Barbara, and I will be your conference operator today. At this time I would like to welcome everyone to the Salem Communications first quarter 2007 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer period. If you would like to pose a question during this time, please press * and then the number 1 on your telephone keypad. If you would like to withdraw your question, press the pound key. Thank you. It’s now my pleasure to turn the floor over to your host, Mr. Eric Jones. Sir, you may begin your conference.
 Eric Jones : Thank you. Welcome and thank you for joining us today for Salem Communications’ first quarter 2007 earnings call. As a reminder, if you get disconnected at any time, you can dial in to 973-935-8511 or listen from our website, salem.cc. We will begin in just a moment with opening comments from our President and CEO Edward Atsinger, and Vice President of Accounting and Finance, Evan Masyr. After their opening comments our conference call operator will come back on the line to instruct you on how to submit questions. David Evans, our Executive Vice President of Business Development and CFO, will participate in the question and answer portion of our call. Please be advised that statements made on this call that relate to future plans, events, financial results, prospects, or performance, are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those anticipated as a result of certain risks and uncertainty, including but not limited to market acceptance of Salem’s radio format, competition in the radio broadcasts, Internet, and publishing industries, and new technologies, adverse economic conditions, and other risks and uncertainties detailed from time to time in Salem’s reports on forms 10K, 10Q, 8K, and other filings filed with or furnished to the Securities and Exchange Commission. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date hereof. Salem undertakes no obligation to update or advise any forward-looking statements to reflect new information, changed circumstances, or unanticipated events. This conference call also contains non-GAAP financial measures within the meeting of regulations, specifically station operating income, EBITDA, and adjusted EBITDA. In conforming with regulation G, information required to accompany the disclosure of non-GAAP financial measures, including the reconciliation of such non-GAAP financial measures included in this conference call, to the most directly comparable financial measures prepared in accordance with generally accepted accounting principles is available on the investor relations portion of the company’s website, salem.cc, as part of the current report on form 8K and earnings release issued by Salem earlier today. I will now turn the conference call over to Edward Atsinger.
 Edward Atsinger, III : Thank you Eric, and thank all of you for joining us for our Q1 2007 earnings call. Let me begin my comments with a summary of our overall revenue growth, and take a look at how that stacked up with the guidance we provided during our Q4 earnings call. And then I’d like to review the results more specifically by looking at the radio performance in terms of each of our three strategic formats. I will comment then briefly on non-broadcast business and then I’ll turn the call over to Evan Masyr for more specific financial detail. Overall, we achieved an 8% increase in revenue, which was comprised of a 3% increase in net broadcasting revenue and a 74% increase in non-broadcasting revenue. I’m sorry. I meant to say a 3% increase in broadcasting revenue and a 74% increase in non-broadcast revenue. On the broadcast side, on a same-station basis, our net broadcasting revenue increased 4% and station operating income increased 3%. While overall net broadcasting revenue was in line with the guidance we provided, station operating income exceeded the high end of guidance by $1.3 million, ending at $18 million, which represented a 5% increase over Q1 2006. This better than predicted SOI performance was primarily the result of lower than anticipated broadcast operating expenses. The largest component of these reduced expenses related to lower than budgeted payroll costs, arising primarily from a number of vacant positions at several of our stations’ local sales departments. So, while this was positive in terms of lower than expected expenses for Q1, it will have somewhat of a negative impact on our local advertising revenue growth, particularly Q2, until those positions are all filled. Let’s take a look at each of the strategic formats in terms of their contribution to Q1 performance. We have 45 stations programming Christian teaching and talk. These stations contributed 48% of our total revenue. Net broadcasting revenue for these stations increased 6% overall, while advertising revenue decreased 3% and block programming revenue increased 10%. The reformat and re-launch of our Miami station as a Christian teach and talk station in January contributed to the block programming growth. Block programming contributed 60% of revenue on our Christian teach and talk stations. It represents 28% of our total revenue, and obviously continues to be an important underlying factor in our overall performance. Our 13 contemporary Christian music stations had revenue growth of 4% for the quarter, and contributed 19% of our total revenue. KLTY in Dallas, our flagship CCM station, contributed most of the revenue growth by increasing its revenue by 12%, as the other CCM stations excluding KLTY had flat revenue growth for the quarter. Our success in Dallas was offset by weakness in national spot advertising, but local advertising increased in all markets except for Cleveland. A significant CCM ratings highlight is that in the just-released winter 2006 Arbitron, KLTY achieved the number one ranking in not only its target demographic of females 25-54 but also for the first time achieved a number one ranking in the broader demographic of adults 25-54. We’re pleased with that achievement. At our 30 news talk stations, net broadcast revenues increased 4% on a same station basis, and contributed 13% of total revenue. I didn’t comment on same station numbers for the other two formats primarily because the overall numbers in same station are very close. Revenue growth was slower than we would have liked on the news talk stations primarily due to the vacant sales positions that I mentioned a minute ago. We are addressing that staffing situation, and are making progress, and we continue to make the necessary marketing and programming investments in order to grow our audience share for this format. During the quarter we increased by about $400,000 our marketing expenditures in markets which included Chicago, Denver, Los Angeles, Louisville, and Phoenix. We’ve also added and are developing known local programming talent in selected markets, and launched the newly syndicated Dennis Miller Show on 10 of our stations, including Los Angeles and Chicago. We believe the increased investment in programming and marketing is appropriate at this time to continue to drive the news talk stations to higher levels of profitability. Lastly, with regard to our radio assets, we did close on the sale of our sports talk station in Cleveland, WKNR, for a sales price of $7 million, we commented on that in the last call. We continue to review our under performing stations, particularly those in non-strategic formats, to determine if additional sales might be justified in a better way to monetize these assets. But we will approach this assignment in a very deliberate manner so that we can be sure to maximize sales prices and ultimately shareholder value. And we will certainly keep you updated on any developments in that area. Our non-broadcast business enjoyed a strong quarter of growth driven by both Internet and publishing acquisitions and organic growth, particularly at our Christian Internet businesses, Salem Web Network. For the quarter, non-broadcast revenue increased 74% to $5.7 million, or 10% of total revenue, and non-broadcast operating income increased to $400,000 compared to a loss of $200,000 for the same quarter last year, which represents obviously a swing of $600,000. Our Christian content websites increased average monthly page views by 21% in Q1 ‘07 compared to Q1 ‘06 to an average of 70 million page views per month. Our conservative opinion website, Townhall.com, which we acquired in May of 2006, drew monthly page views to an average of 34 million for the quarter from a base of 12 million at the time of acquisition. In total, page views increased 80% to 104 million across our entire network. We expect this page view growth to translate into future revenue and profit growth. For the quarter, our Internet business increased revenue 45% to $3.1 million and increased profits to $500,000 from $100,000. Our prospects for continued growth of our internet businesses are good. Now I'll turn the call over to Evan Masyr for additional discussion of our first quarter 2007 results and he will also provide second quarter 2007 guidance.
Evan Masyr: Thank you Ed. Our results for the first quarter of 2007 were issued in a press release earlier today and are available on the Investor Relations portion of our website. I'll briefly comment on our results. Total revenue for the first quarter increased 8% to $56.1 million and adjusted EBITDA increased 14% to $13.2 million. Broadcasting revenue grew 3% to $50.4 million and station operating income increased 5% to $18 million. Our revenue growth was negatively impacted by the sale of our Cleveland Sports Talk station which we stopped operating on December 1, 2006. This station had first quarter 2006 revenue of $0.6 million with no revenue in the first quarter of 2007. As previously mentioned by Ed on a same station basis our net broadcasting revenue grew 4% and station operating income increased 3%. Let me provide some detail by revenue type comparing first quarter 2007 results to the first quarter of 2006. Sale and station block programming revenue grew 8% to $18.2 million. Same station local advertising revenue was flat at $27 million. Same station national advertising revenue, which included spot and network revenue, grew 1% to $7.3 million. Other revenue, which includes infomercials, increased by 7% on a same station basis to $3.2 million. Our same station results include broadcasting revenue from 92 of our radio stations in our network. This represents 98% of our net broadcasting revenue. Within our portfolio of stations, our startup and early development stage stations which were originally purchased for a total of approximately $228 million, generated SOI of $1.9 million for the 12 month period ended March 31, 2007. Let me now comment on our balance sheet. As of March 31, 2007, we have net debt outstanding of $340.5 million including $8.5 million outstanding on our $75 million revolver. We're in compliance with the covenants of our credit facilities and our bond indentures. Our leverage ratio was 5.61 versus a compliance covenant of 6.75 and our bond leverage ratio was 5.46 versus a compliance covenant of 7. Looking to our second quarter; we are projecting total revenue to be between $58.7 million and $59.2 million compared to second quarter 2006 total revenue of $58.1 million, adjusted EBITDA to be between $12.8 million and $13.3 million compared to second quarter 2006 adjusted EBITDA of $15.8 million, and net income per diluted share to be approximately $0.04. Our second quarter 2007 outlook reflects the following; same station net broadcasting revenue to be between $51.9-52.4 million compared to $52 million in the second quarter of 2006, non-broadcast revenue increasing to approximately $6 million from $4.7 million in the second quarter of the prior year, same station SOI declining to between $18-18.5 million from a base of $20 million in the second quarter of 2006, non cash compensation expense of $800,000 compared to second quarter 2006 non cash compensation expense of $1.3 million, increased marketing and programming costs of approximately $0.9 million on our news talk stations in Chicago, Denver, Los Angeles, Louisville, and Phoenix, and on our Contemporary Christian music stations in Atlanta and Dallas, continued growth from our core block programming business and our underdeveloped radio stations, particularly our news talk stations, ongoing softness in the radio advertising market, and the impact of recent acquisition and divestiture transactions. This concludes our prepared remarks. We would now like to open the call for question. Operator?
Operator: Thank you. At this time I remind you if you would like to ask a question, press *, and then 1, on your telephone. Thank you. Our first question is coming from Victor Miller from Bear Stearns
Victor Miller - Bear Stearns: Good afternoon. I penciled in, you obviously said you were down 1.6% in advertising revenue. If you let's say block programming, kept a similar pace, maybe up 7.5% in the second quarter…suggests that the core advertising's probably down about 5%. If you could talk about what you're seeing in terms of what's driving the advertising change there? Secondly, obviously the expense growth is about 8.5% penciled in for second quarter versus 7.5% for first quarter, yet obviously the revenue's going to be almost 600 basis points lower. Maybe if you can just talk about the dynamic that's driving that with more granularity? Thanks very much.
 Evan Masyr : In service of the advertising revenue side vector they are on a same station basis, local advertising revenue was flat Q1 '07 compared to Q1 '07. National advertising grew 1%. So I'm a little unclear where you get the number minus five. Same station basis local advertising was flat
Victor Miller - Bear Stearns: That's my guess for second quarter. In other words if you only have 1.6% for total revenue growth and block programming grows at a similar rate and that implies that the core growth is down—
 Evan Masyr : OK, yeah. Second quarter…two dynamics in advertising revenue. The first dynamic is, as I mentioned, we've got a number of vacancies in our local sales departments in some important markets that we're working hard to fill. Although that gave us favorable expense position in Q1, having those positions vacant is handicapping in our Q2 advertising revenue performance on the local sides. So that is the Salem specific factor. Overlying that or underlying that is just the overall softness in radio advertising that you're hearing from our various radio broadcasting peers as they report. So I think those are the two factors that the standing out and then the third element is, as Evan mentioned, we sold our sports station in Cleveland during the first quarter so Q2 '06 has got revenues in there for that station…Q2 '07 obviously not in that. Obviously those are the three
Victor Miller - Bear Stearns: Q2 '06?
 Evan Masyr : Q2 '06 I would think that station's revenues were about $7-800,000. So those are the three primary factors.
Victor Miller - Bear Stearns: OK so on the revenue and then that obviously impacts the expenses too because you expect that point that some of those local sales people would be coming back into the equation second quarter, that's why expenses are a bit higher?
 Evan Masyr : Yeah, expenses are higher in Q2 for three reasons. Number one, just underlying inflationary type growth. That's probably in the 3% arena compared to prior year. Number two, new sales people coming on stream, where we'll have the expense in Q2 and there’s obviously a lead time before they are revenue and profit generating, so you probably don’t see the benefit of that until Q3 and Q4. Third factor is increased marketing and programming expense, compared to last year, particularly on our news talk stations and to a lesser degree on a couple of our music stations.
Victor Miller - Bear Stearns: Thank you.
 Operator : Thank you. Our next question is coming from James Dix from Deutsche Bank.
 James Dix - Deutsche Bank : Good afternoon gentlemen. Just a couple questions. First if you could provide a little bit more detail on where you’re seeing the changes in growth by format in 2Q versus 1Q. I think you gave some pretty good color on some of those specific items to Salem, including sales. Is that affecting certain formats more than others or are there other trends affecting certain formats more than others in second quarter verses first? Second, on KLTY, is the gap between KLTY’s performance and the rest of the Christian Teaching, Christian music stations, increasing, and if so, does that indicate at all to you that KLTY is more, is somewhat of an outlier or do you still believe that station is a good template for the rest of the stations in the group? And then my last one is just on the block programming… how should we be thinking of that going forward, you’ve got around 5% on your renewals, I believe for the year…you’ve added Miami, so your 8% growth in the first quarter was very good. Is that true of you assuming that and Victor was assuming like 7%... is that a good assumption going forwards for the rest of the year?
 Edward Atsinger, III : Let me, James, try to deal with question two and three and I’ll let David and Evan deal with the first question. With regards to KLTY, the gap is not widening if you look in terms of audience share. There’s a bit of widening in terms of revenue as we mentioned, as I mentioned in my comments, KLTY for the first time achieved, not only number one in female 25/54, but number one in adults 25/54, so that franchise just continues to do very well. Now, there are always certain dynamics at work in each of these markets, and to answer your question… is this an outlier? No, I don’t think so at all. There are competitive factors in some of the other markets that make the hill a little more challenging at times, and none of them have the longevity in the format that KLTY has in Dallas. You can certainly point to a number of other major markets with other operators that operate CCM stations that are achieving KLTY types of results. So, I certainly don’t think it’s an aberration. I think that the other stations can achieve it. You do have to have certain dynamics, you have to have good competitive signal in a good market, and we have a number of those and we see…we’re encouraged by the continued progress we make in both getting the product better and in terms of marketing and promoting it. With regards to the block programming, the conversion of the Miami station to Christian Teaching Talk in Q1 certainly did impact it. The impact of that station on the additional quarters of ’07 certainly will be there, whether it’s 7%, I can’t say for sure. Detroit was also somewhat of a factor. We acquired a second station in Detroit which was Christian Teaching Talk. We were stand-alone with the News Talk there prior to that and that will have some impact. It is possible that the 7% is in the ballpark of what we should expect to see there, in spite of the fact that we got a 5% increase on renewals. Sometimes, when we don’t get a particular organization to renew, it creates an avail, and we’re often able to monetize that at a higher rate with a program that’s been waiting to go, but we simply haven’t had the avails. But I think the 7% is probably a reasonable expectation. With regards to your first question, I don’t know, David or Evan?
 David Evans : On the first question, comparing format growth rates, Q1 ’07 to Q2 ’07, it’s the two talk formats, Christian Teaching Talk and News Talk, where we’ve got these vacant sales positions that we’re pushing to fill. So, when we reach the end of the quarter report on numbers, I think music will be our fastest grower in the second quarter, and you’re going to see the two talk formats a little less than that because of these sales positions. Does that answer your question James? [Pause ] OK, our next question?
 Operator : Thank you, our next question is coming from Bishop Cheen from Wachovia.
 Bishop Cheen - Wachovia : Hi, David, Evan, thank you for taking the call. You are adding to your non-broadcast assets and they’re growing like (inaudible), of course not a shock. Going forward, how much expansion do you think is possible, and where would you like to focus on the non-broadcast assets if you could round out the vision of what you see there… and any synergies that you think you’ve learned that it will add to your core platform?
 David Evans : If you examine the growth in non-broadcast revenue and you split it between acquisition related growth and organic growth, the organic growth in our internet business, I’d estimate it around 20%, 15-20%. The organic growth in our magazine publishing business is low single digits between Q1 ’06 and Q1 ’07. We made a number of acquisitions that drive the overall growth rate rather higher. On the conservative opinion front on the websites, we’ve purchased Townhall.com in the second quarter of last year. We purchased two magazines, Singing News and Preaching Magazine, within our magazine publishing business, and we purchased Xulon Press, which is a Christian content print on demand book publisher. We will anniversary those acquisition dates during Q2, so when you get to see the Q3 numbers, at that point, you’ll begin to see underlying organic growth again. We continue to see a number of good opportunities on the internet front, and continue to look to expand there. We’re particularly interested in some of the synergies between our radio business and our internet business. We’ve been pretty active over the last year or so, promoting our various websites on our radio stations. That’s been very effective in terms of generating page view growth and revenue growth on the internet site, and all of that’s been done with your unsold inventory, so very effective for us. We’re now using our internet content assets and functionality to improve our radio station websites, which in turn will allow us to grow local internet advertising revenues, and we’re also now beginning to use the internet to promote our local radio stations. So, we’re really trying to make it a two way street of cross-promotion from radio to internet and then hopefully back. I don’t know if you want to add anything to that Ed?
 Edward Atsinger, III : Well, Bishop, I would simply say that if you want a real concrete number to look at that I think represents a bullishness on our part… we acquired Townhall, I just repeated the numbers, but to underscore it, we acquired Townhall in May of ’06 with 12 million average page use of time. I think it was the third largest website for political, social, and public policy conservative website. By February, that number had gotten to about 35 million page views, and that was driven primarily by using our radio platform. So, we like the idea of being able to use the radio assets to drive page views up on these internet assets. But we’ve got to acquire some of the internet assets before we can use the radio to drive them. So, the Townhall acquisition was very timely and as David said, that will move into, pretty soon, will move into third quarter into a same store comparison. But I think that does suggest that there’s a very good opportunity for organic growth by using the entire platform to drive the internet growth and visa versa use the internet then to come back and promote the radio. And there is a pretty direct correlation between page view growth and total page views and revenue. There's a bit of a lag like there is in any kind of advertising but the correlation is a little tighter on the internet side with page views because everything is measured so specifically that you can pretty much estimate where your revenue is so were very encouraged by that particular part of it.
 Bishop Cheen - Wachovia : That's very good color there. Just a quickly can you tell me what your capacity is on your credit facility going forward at this time?
 Edward Atsinger, III: We have $75 million on our revolver. We have $8.5 million of it drawn. With our leverage taken into account we would probably borrow about another just north of $60 million.
 Bishop Cheen - Wachovia : So that's $62 million availability?
 Edward Atsinger, III: That's correct.
Analyst: OK great. Thank you gentleman.
Operator: Thank you. Our next question is coming from Jim Goss from Barrington Research.
 James Goss - Barrington Research: Thank you and good afternoon. I was interested in more detail on the space in sales positions you were discussing. I'm sort of curious how many positions you're talking about, how did it develop, and how long a tale might it be? It seems that it had a positive affect on the first quarter earnings but it's going to come out of the second quarter and possibly longer? So that's one thing I'd like you to talk about if you could.
 Edward Atsinger, III: I can't give you specifics numbers. I can I mean, Evan maybe, and we'll drill down a little bit more on that. I mean we've looked at it in terms of revenue savings, probably a bit odd of a way to look at it, but it probably represented a half a million to three quarters a million dollars on the expense side of savings representing savings. In terms of the total number of positions, I'm not sure, I know that New York some of these key markets, New York and LA are markets that have vacancies and I think if we look at a whole group and all of our 100 stations, we probably have something approaching 70 or so positions that we'd like to fill. Now this is always an ongoing challenge. There's no time in our business when we don't have a certain number of vacancies but 70-75 is I think where we are right now plus or minus 10%. And I would sat that's about 25 or 30 vacancies more than we would normally have. In particular New York and LA are two markets where the seller impact has more bang for the buck you might say because of the fact that there such big markets with each seller carrying the higher dollar amount.
 James Goss - Barrington Research: OK a couple of other areas. I was wondering if you could give an update on the programming in the several news talks. How soon you might extend that, if it is going well? And separately, some news talk stations in (inaudible) respect markets (inaudible) any potential with any of your stations as you see them as you've achieved with KLTY in the music space?
 Edward Atsinger, III: Well Jim, you broke up there several times so we got only about half your question. I guess we're having a few technical difficulties on this end. I missed the key parts of that question.
 James Goss - Barrington Research: OK, one related to the programming update with the morning shows and the news talk stations and the other related to the potential you might see with the news talk stations in their respective markets and that in certain markets news talk tends to occupy some the top runs in the ratings of your show and I was wondering do you have that potential as you see it with any of your stations as you have done with KLTY in the music space?
 Edward Atsinger, III: Well with regard to the local shows that we've invested in, we've invested in Chicago specifically in terms of the local morning show, some of the other markets, it's been other day-parts and we're pleased with the progress there to establish and bond with an audience, it takes a while. I think we've had this local morning show on less than six months. It wouldn't surprise me if it doesn't take 18 months or so before you really to get that bonding results in an increase audience share as is measured by Arbitron, but based upon our preliminary evaluations of the job they're doing, we're pleased with it, the sales people are able to sell it. The other little benefits to get from local talent particularly morning drive talent is that they can promote in the market and they can get involved with advertisers. So it helps the bottom line in a lot of ways before you see the audience growth that you're looking for. So we remain cautiously optimistic. We think that it was a good decision in Chicago. We will selectively look at other morning slots as local talents emerges that we think makes sense. As far as the potential, we've been very modest in what we've wanted to do with these stations, because we rely primarily on syndicated product which is inexpensive to us. In most cases it costs us nothing because we syndicate the talkers that we are putting on these stations so our cost basis is quite low in terms of talent. The bigger expense is of course production. You still have to promote it and you have to develop an audience, but we've always remain pretty modest in our expectations. We've said that technically in the top 10 market, our target is to achieve a two share 12 plus and to do it incrementally to get to the one share is harder to get to a one share consistently than it is to get to a two share in our case. So we want to move from a one share to a one and a half share to a two share. Try to maintain at that level and that represents the first level of success for us with a low cost basis. We can do quite well at that level and incrementally better than we're doing now and we're seeing progress along the line here We just got the Winterbook and Louisville. We're very pleased with a 2.1 share 12 plus there that station's on its way. There are several others that are making progress like Honolulu at 1.5 share. So it's two steps forward, one step back with these formats. Everybody knows it’s a competitive area. You've got in every market you have competition that you have to deal with but I feel that we do have potential with these two certainly to achieve the modest goals that we've set and then over there we will go to the next level at a four or five share and some of these markets is where the franchise leaders are and that's certainly would be the target that we can go for. If we can get there, the incremental offside is huge but we're modest in our targeting. Get us a two share consistently four book average and you will see that we will produce very good revenue results.
 James Goss - Barrington Research: Alright, thanks very much.
Operator: Thank you. At this time I would like to turn the floor back to Mr. Ed Atsinger.
 Edward Atsinger, III: Alright, well thank you everyone for joining us and we'll look forward to visiting with you again for our next quarterly earnings call.
Operator: Ladies and gentlemen this does conclude today’s conference call. You may now disconnect. Thank you.